Operator: Good morning. My name is Angela and I will be your conference operator. At this time, I would like to welcome everyone to the Terex Corporation Second Quarter 2015 Financial Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. Thank you. Mr. Ronald DeFeo, Chairman and CEO, you may begin your conference.
Ronald M. DeFeo - Chairman & Chief Executive Officer: Thank you and good morning, ladies and gentlemen. We appreciate your interest in Terex today. On the call with me this morning is Kevin Bradley, our Senior VP and Chief Financial Officer; also Kevin O'Reilly, Vice President of Operational Finance; Tom Gelston, Vice President of Investor Relations; and several of our leadership team members, including our business segment presidents. As usual, a replay of this call will be archived on the Terex' website, www.terex.com, under Audio Archives in the Investor Relations section. I know everyone's busy this morning. We appreciate the early start to the conference call, and I'm going to begin with some comments and highlights. Kevin will obviously follow with a little bit more detailed financial report. I will provide some segment information and overall summary before we open it up to your questions. We will be available following the presentation also for your questions. I'd like to request during the question-and-answer period that you limit your question to one question and a follow-up to give everyone a chance to participate. Let me direct your attention to page two, which is the forward-looking statement. This is the presentation that we'll be following, which identifies the non-GAAP measures and explains them as well as risk factors. We encourage you to read this as well as other items in our disclosures because the information we'll be discussing today does include forward-looking material. So, I'd like to begin. Turning to page three: The second quarter was a solid quarter overall for us, delivering on sales and profit targets despite an environment best described as challenging; but frankly, it was as expected, and we did perform reasonably well overall. Our AWP and Materials Processing businesses both returned to double-digit operating margins with 36% and 51% sequential incremental margins, respectively. This highlights some of the early successes our internal initiatives on cost and productivity are having on our results. Currency continues to have a meaningful impact on our year-over-year comparisons for net sales where 9% out of the 11% decrease was a result of currency translation. From a capital structure perspective, the convertible notes matured and were retired. We re-priced our European term loan, and we entered into a securitization facility for our Terex Financial Services business, all continuing to further optimize our borrowing efficiency as a company. For our full year outlook, we continue to expect year-over-year improvement in operating results in the second half of 2015, mainly from our Arial Work Platform and Materials Processing businesses. But as mentioned in our press release, the environment isn't without its challenges, and we have seen increasing pricing pressure in certain markets as well as some product mix shifts versus our forecast. Conversely, we feel reasonably good about how we're performing against our established improvement plan, enough that we're communicating that we are ahead of plan in terms of implementation of these initiatives. And while we were hoping to have better initiative performance would have created upside to our forecast, we are in a situation that all of the upside has been needed to offset the challenges we see in the marketplace. Better implementation does help us minimize the downside risk during these times and sets us up for more rapid profit expansion when markets do return to better levels. As for our outlook, we feel there increased uncertainty in how the second half will play out on the top line. As such, we are orienting our EPS expectations to the low end of our previously provided range to be prudent. We've provided a small range around the $2.00 EPS figure, so a new range of $1.90 to $2.10 per share. With that, let me now turn it over to Kevin who will walk you through the numbers. Thank you. Kevin?
Kevin P. Bradley - Chief Financial Officer & Senior Vice President: Thanks, Ron, and good morning everyone. I'll be reviewing results for the second quarter of 2015 and comparing them to the prior year results. Let's turn to page four which brides the change in both net sales and operating profit for the quarter. Net sales for the quarter of $1.83 billion decreased from the prior year by 11%, or approximately $227 million. Operating profit for the quarter of $148 million decreased $13 million, or approximately 80%. Changes in foreign exchange rates accounted for roughly 80% in the decrease in both cases. Given the significance of currency on the year-over-year comparison, I'll discuss the net sales performance on a constant currency basis to provide a better understanding of the underlying performance in the business. In our AWP segment, excluding the impact of currency, sales were down approximately 2%. AWP generated growth in many markets around the world including China, the Middle East and continued growth in Europe to name a few. This growth however, was more than offset by a decline in North America, primarily driven by the impact of oil and gas, as large rental companies rebalanced their fleets. Continued softness in the Brazilian economy also contributed to the 2% decline. Sales for the Construction segment, excluding the impact of currency and the divesture of our ASB business, are up on a year-over-year basis, primarily driven by growth in our concrete mixer truck business. The Crane segment, excluding the impact of a small acquisition in our utilities business, is basically flat compared to the second quarter of 2014. Both our MHPS and MP businesses were essentially flat compared to the prior year quarter on a constant currency basis. The bridge schedule at the bottom of the page provides a similar breakdown of our operating profit results for the quarter. For AWP, the primary driver of the operating profit decline was sales related. A less favorable product mix in our Crane segment drove the decline in the quarter. MHPS and MP, despite lower sales, were generally at the same profitability levels as the prior year quarter. The year-over-year improvement in corporate and other for the quarter was driven primarily by three items of roughly equal weighting; the first being the positive performance in Terex Financial Services during the quarter as we continue to invest in and expand this business; the second related to lower spending levels at corporate than originally forecasted; and the third driver related to the change in intercompany eliminations. Page five shows the comparative quarterly income statement. Gross margin increased 0.4% to 21% from the prior year, driven largely by our AWP and MP businesses. SG&A as a percentage of sales was essentially flat at 12.9% for the quarter versus 12.8% in the prior year, but declined $27 million in line with our sale decline. Income from operations decreased $12.6 million compared to the prior year. As a percentage of sales, operating margins increased from 7.8% to 8.1% for the quarter, driven by MP, the improvement in TFS and lower corporate spend than planned. Net interest and other expenses decreased versus the prior year driven largely by lower interest rates under our new credit facility. The effective tax rate was 27.7% in Q2 compared to 31.2% in the prior year quarter. This difference was mainly due to the current period's jurisdictional mix of profits and losses. We still see the full year tax rate in the 30% to 32% range. For the quarter, earnings per share was $0.78 compared to EPS of $0.76 in second quarter 2014. EBITDA for the quarter was $183 million, or 10% of net sales, compared to $199.5 million, or 9.7%, in 2014. Net working capital as a percentage of annualized sales was 24.7%, up slightly from the prior year quarter of 24.5%. Return on invested capital decreased to 9.9% from 10.6% in the prior year. Page six provides a bridge breaking down the $22 million decrease in liquidity for the quarter. Free cash flow, which we define as cash from ops less CapEx and any investment in TFS, was $76 million and generally in line with our expectations. We paid $129 million to retire our convertible notes as they matured in June. During the quarter, we grew our TFS balance sheet by $114 million, but normal amortization and syndication activities, as well as our recently launched securitization facility, resulted in a positive $73 million cash contribution from TFS in the quarter. Settlement on repurchased stock during the second quarter combined with our dividend represented a use of $17 million in the period. We completed M&A activity in our MP business during the quarter, representing a use of approximately $33 million. And lastly, changes in the value of the U.S. dollar versus other currencies negatively impacted liquidity by $8 million. With that, let me turn it back to Ron.
Ronald M. DeFeo - Chairman & Chief Executive Officer: Thanks, Kevin. On page seven, we've presented our geographic footprint. Now, just to level set everyone, the arrow on the left highlights the change in reported net sales for the second quarter, while the arrow on the right shows the change in net sales, adjusted for currency to try and give you a more representative picture of the underlying business performance. Obviously, this is only done because of the fairly dramatic changes in currency that we've experienced over the past six months to nine months. Our largest market remains North America, which showed a decline of 8% for the quarter on a year-over-year basis but makes up 46% of our revenue base. Most of the global markets were down on a reported basis. However, Western Europe, Asia and Latin America were actually up when the impact of currency is removed. Europe continues to represent about 27% of our overall business, the Asia/Oceana area grew slightly to 12%, with the rest of the world markets remaining stable at approximately 15% of total sales. Now I'd like to take a few minutes and give you a quick review of each segment, starting with the Aerial Work Platforms on page eight. AWP is well positioned to continue into the second half of this year with a slightly higher backlog than a year ago, at $436 million, even including the headwind from currency. As mentioned last quarter, the order pattern from our customers this year had our major accounts placing their largest stock orders in the fourth quarter and expecting delivery in Q1 and Q2. While net bookings in the book-to-bill ratio in the quarter appears low compared to 2014, it is actually in line with our expectations given the amount of orders, we have already received for Q3 delivery in previous quarters. This, combined with the impact of the improvement initiatives, is expected to lead to a noticeable margin improvement when comparing the second half of 2015 with that of 2014. However, from a net sales perspective, the current uncertainties in the marketplace cause us to be a little bit more cautious with our expectations for Q4 compared to three to four months – three to six months ago. Additionally, we have a more competitive environment and a less favorable product mix than first anticipated. However, we will discuss, in a few minutes, our savings plans which are being accelerated and we expect to help offset much of this pressure. Next, our Construction business on page nine: Backlog for the business stands at $164 million, which is down from the $188 million achieved in the prior year second quarter. It's important to remember that ASV, as we have mentioned previously, while not reported in our current results is still included in the historic periods and it as noted in the shaded portion of the graph. Adjusted for this, as well as, the impact of currency and the backlog, the Construction business shows a modest improvement. As we look into the second half, the strength in our North American concrete truck business and dumper business is offset with clear weakness in our German and Indian compact equipment businesses. On page 10, we show our Cranes business, which continues to operate in a fairly stable but quite muted demand environment. The utilities business remains our most consistent performer in this segment, and we expect that trend to continue in the second half of the year, as we look to continue to grow this business, as well as our North American Services business. For our crane products, excluding the impact of foreign currency, the backlog is down 11% from the second quarter of last year. Continued softness in the North America market, driven by oil and gas, and the Australian market, driven by commodity prices, has particularly impacted our rough terrain and pick-and-carry products. We see this continuing into the second half of the year, offset a little bit by improvements in our other product categories. Turning to page 11, our MHPS business: The business results for the backlog reflect a delivery last year of the substantial port automation solutions projects that was in 2014. Our backlog is down versus the second quarter of 2014 by approximately 27%, 17% excluding foreign currency; however, much of that change can be isolated to the big automation product order book as illustrated by the shaded part of the bar graphs on this page. Although our order book for mobile harbor cranes has picked up during the year, it's not enough at this point to offset the loss of the large automation projects. Our cost reduction initiatives are in fact taking hold as most evident in our Material Handling results as the margins for this business expanded by 1.7% points in the quarter, which has helped to offset the margin impact of the decline from the automation business. Lastly, on page 12, we discuss the Materials Processing business. The story for MP continues much the same from an orders perspective. The operating environment does not provide a lot of visibility, and we continue to operate quarter-to-quarter with a high order conversion rate. While we've continued to make small investments in this business, building out a washing system as well as the Terex environmental equipment product line, the investment in these new product categories has helped to offset some of the softness seen in the commodity driven markets such as Australia, Russia and South Africa. We believe that our first half execution was positive, and we still see challenges in our markets that make us a bit cautious for the second half of the year. Now turning to page 13, we want to review the progress we're making with our improvement initiatives, as we indicated during our last quarterly call. You may recall in October last year, we communicated the launch of improvement programs that targeted $202 million of operating profit impact on a run rate basis leaving 2016. We're targeting approximately $50 million of benefit in 2015, and we're pleased to report that we're ahead of schedule. In the first half of this year, we achieved approximately $40 million in benefits, and we are pushing our targeted full year impact for 2015 up to $100 million, meaning $60 million incremental in the second half. These benefits were very important in the first half in helping us offset the various headwinds that we have discussed. The broad-based improvement program includes about 50 specific projects across each of our segments and corporate as well. We are grouping them into five categories, as previously communicated; supply chain, productivity and head count, restructuring and footprint, new products and new markets and design and product simplification. And we're making progress in all of these areas, but naturally some projects are moving more rapidly than others and some slower than others. For example, we're seeing very good results across our supply chain initiatives. On the other hand, our productivity initiative at AWP, for example, is off to a slower than – start than anticipated. However, we're already seeing the rate of improvement increase as we expect to meet our goal by the end of the year here. Restructuring and footprint reduction, which is predominantly within our MHPS segment at this time, is making progress in Europe and Brazil, growing our North American services business and expanding our global cranes customer and product support network is contributing to the new product and markets category. Another good example is our Genie FX-150 Super Boom, which allows customers to work safely at a height of up to 157 feet even in extreme environments. This is a new size category for us and will be an important product in our lineup. The Material Handling V-Girder Industrial Cranes product, our North American construction loader backhoe, among other new products, are also making strides; and MP, or Materials Processing, is starting to see the benefits of its global parts initiative. Finally, our design and engineering teams around the world are focusing on making our products simpler, so they're less expensive and easier to manufacture and, importantly, providing greater quality, ease of use and return on investment to our customers. We're improving the competitiveness of Terex across the board. A great example of the product improvement is our Challenger and Explorer lines of all-terrain cranes that are providing through a structured, multistage simplification process real cost reductions. Just to give you an example of what we're starting to see, when the team got into the boom design and manufacturing process, some fairly simple changes cut 60 hours out of the fabrication time of our boom production. Other purchase fabrications we are seeing cost reductions as high as 23%. These types of improvements are already making a meaningful difference in the cost of our machines. As they did in the first half of the year, we expect the benefits of these initiatives to play an important part in the second half of the year and help us counteract some pretty challenging market conditions. So in summary, on page 14, we expect AWP and MP to carry the profit momentum into the second half 2015. As mentioned a few times on the call, we continue to be pleased with the execution of our internal initiatives, delivering more in 2015 than originally planned allowing us to offset some of the pressure on our various businesses stemming from the market. In reviewing our full year, we feel the lower end of our previous guidance is more in line with our current expectations. Accordingly, we're now establishing the EPS range at the midpoint – the midpoint of which would be $2.00, down from a midpoint previously of $2.15. Now, I'd like to open it up to your questions. Thank you.
Operator: Your first question is from the line of Ted Grace with Susquehanna.
Ronald M. DeFeo - Chairman & Chief Executive Officer: Hello, Ted.
Ted Grace - Susquehanna Financial Group LLLP: Ron, I was hoping to start on Aerials. I mean, you have consistently and clearly talked about the challenges in the environment, but I was wondering kind of in that vein, could you talk about, one, for the full year revision, how much of that ties to Aerials at the EPS line and the revenue line? And then when your competitors today talked about 2016. I know you haven't talked about 2016. But they kind of framed an outlook of down 5% to 10% for their own business at this point. And I was just wondering if you could give us some kind of framework or handholding on how you think people should be thinking about Aerials in 2016 and kind of where we sit in the cycle? And I'll kind of leave it at that.
Ronald M. DeFeo - Chairman & Chief Executive Officer: Okay, Ted. Thank you. I'd say an important but small piece of our overall adjustment for 2015 relates to Aerials, maybe 25% to 35% somewhere in that range. I don't want to be that precise about it, because there's moving pieces. And actually, our AWP team is doing a great job on productivity. And I got to tell you, in this environment that team is working very hard. The team is getting more done with less than they've ever done before. And while last year, we had productivity challenges, this year we're going to have productivity gains. And I'm really looking forward to the second half from that team. So revenue challenged, but productivity driven, exactly what you want to see in a business, where you don't really expect a lot of revenue growth, which gets me to the second part of your question, looking toward next year. You know, unfortunately, the market has its challenges. We anticipated those challenges going into this year. And in fact, we anticipated challenges for the next couple of years in part because of the obvious and clear 2009 and 2008 issues. And 2008, 2009 were very different years; the market declined so much. So obviously, there'll be a bit of an echo effect there, but we've been planning for this. So while the market maybe a tad bit softer in 2016, I'm sure a lot of our initiatives, both the product initiatives as well as some of our own productivity and improvement initiatives, will help to offset that. I'm not prepared to give 2016 guidance at this stage, but I am prepared to say that I believe our AWP team will be more productive and will be focused on the customer satisfaction issues that they're known for and will continue to drive market share improvements. We've got a great AWP team under the Genie brand, and I think we'll be more competitive in 2016 than we have been in 2015.
Ted Grace - Susquehanna Financial Group LLLP: Okay. And so maybe the last thing before I jump back in queue, can you just talk about, kind of, channel inventory and the dynamics that you think are effecting pricing in kind of the immediate environment?,
Ronald M. DeFeo - Chairman & Chief Executive Officer: Well, overall, I think, our inventory is okay. If I look across the industry, there's pockets where there's excess inventory. We know some of our competitors, whether it's in the crane business or among some of our customers in Cranes or some of our AWP competitors have a substantial amount of inventory. Obviously, this is the business we're in. And this is the issues that we have to face and everybody's got to make adjustments. And the best way for those adjustments to be made will be to take production rates down. Okay. That's what we did last year. That's why our AWP margins were way down in fourth quarter and in first quarter of this year, because we took production down; we paid the piper. But the alternative is to lower pricing. I will tell you, we will respond, if pricing gets lowered. We're not going to lose a lot of market share, but I don't see that as the prevailing attitude out there in the marketplace.
Operator: And your next question is from the line of David Raso with Evercore ISI.
David Michael Raso - Evercore ISI Institutional Equities: Two questions: One, first on the cadence for EPS for the rest of the year. I'm just trying to square up the third quarter to fourth quarter, I assume likely implied EPS decline sequentially with the cautious comments on the fourth quarter for Aerials. Just given Aerials' operating leverages as big as it is, I'm just sort of running numbers, that seems like there's a lot of pressure 3Q to 4Q on EPS from Aerials alone. I mean a magnitude of maybe $0.30 plus. Maybe MHPS is a bit of the offset, but can you just walk us through the cadence for the rest of the year, squaring up the Aerial sequential decline 3Q to 4Q?
Ronald M. DeFeo - Chairman & Chief Executive Officer: You know, David, we don't give Q-by-Q guidance by segment. And you do a really good job of analyzing the pluses and minuses of the quarters. What we did provide you with was is our sense that Q4 will be a little bit softer for AWP from a revenues point of view. What we didn't provide you with is some of our cost reduction initiatives and how they're going to offset some of that softness. And we see real opportunities in steel costs. We see real opportunities in productivity in AWP. So you're right, our Q4 will likely be a meaningfully lower quarter from an EPS point of view year-over-year. That is where one of the biggest challenges are. But I don't know, Kevin, if you want to provide any more perspective on this?
Kevin P. Bradley - Chief Financial Officer & Senior Vice President: Yeah. I think, Ron, you summed it up appropriately. Certainly, where we see pressures, you look at the drop in the guide, its largely targeted towards Q4 from our expectation standpoint. But the mix is probably in the – I'd call it 55% Q3; 45% Q4. That's pretty rough, David, but that's what I would share at this point.
David Michael Raso - Evercore ISI Institutional Equities: I guess a key there then to make those numbers, it's the margin in the fourth quarter for Aerials despite a big sequential revenue decline is the offset, is, you know, the margins are going to hold up better due to some of the cost initiatives you just outlined.
Kevin P. Bradley - Chief Financial Officer & Senior Vice President: Better year-over-year, yes.
Ronald M. DeFeo - Chairman & Chief Executive Officer: For sure, I mean, that's where we've been working. I said earlier, our fourth quarter margins last year were the disappointment, but were understandable because we were pulling back production, we were taking our headcounts down, we were out of balance somewhat. And we paid the piper last year as we did in the first quarter of this year. And I think the encouraging thing about – to me about our Aerials business is we achieved a 15.3% operating margin in Q2. And we needed to do that to demonstrate that we, both, had that margin capability in this business as well as could be productive and planful and return this business to a level of margins that I had indicated for a full year will be in the low teens.
David Michael Raso - Evercore ISI Institutional Equities: Thank you. And the second question about 2016 in Aerials. I mean in the channel, you hear about basically the returns on capital on the Aerials aren't what they were, pricing's up more than rental rates are up over the last five years, six years, seven years. But you're trying to fill some of those holes. I hear there's prototypes out there on lower cost machines, cost out, filling some of the height-lift sizes that maybe you can offer a unique ability to outgrow the market next year, if you can get those products to market quickly enough, so that's one question. And two is that being – do you have the ability you think to catch some of the better return products out there, early enough to make 2016 maybe not down as much as your main competitors? I was just curious by that issue in the channel off late. That maybe gives you a little bit of leg up. I don't know if your competitors have moved as far along with some of the prototypes.
Ronald M. DeFeo - Chairman & Chief Executive Officer: Well, we don't want to comment, David, on prototypes, just to start with because I don't want even guess what kind of prototypes you're talking about. But we will say we are an inventive group, we are a smart group of people and we are close to our customers. And I know my competitor is a tough competitor, thoughtful and planful as well. I do think, as we look forward, we're going to hustle and we're going to try and meet the needs of our customer base. I think it takes time to counteract certain trends and industries – certain trends and issues in the business, but we'll listen. We'll listen to whatever is out there. Matt, do you want to comment further?
Matthew Fearon - President-Terex Aerial Work Platforms: Yes. I think that – I guess all that I would add, David, is that the way we're viewing 2016 is similar to the way we viewed 2015. In other words, the market's going to be a bit tough. We're going to have to focus on the internal initiatives. We don't see it as doom and gloom. I think that the rental companies this year, they've been paying attention to their fleet. They handled the oil and gas and the redeployment of fleet around the country and a short season. And so they've been able to stomach that. And we were planning for a moderate decline this year and had our focus on the margin improvements and we're going to continue that through next year. As you've alluded to, we've got new products; not only new products that are going to come out but the new products that have come out over the last three years are really getting their legs underneath them. And that's been a bit of the disruption that we've had over the last two years is we've been putting a lot of the new products out. That's going to help us. The other thing I would add is our global footprint and the teams that if we have in China and in Europe, we've got full-fledged teams there that are paying attention to those markets. And everybody's laser focused on the North American market, which we should because it's the biggest; but there's other opportunities out there. So when we look out it at 2016, we know that we have the re-fleeting requirements are going to drop, but we've been working to offset that over the last couple of years, it's not like something that we're all of a sudden pulling the ripcord on. We know exactly what to expect. So we're pretty optimistic about what we see over the next couple years.
Ronald M. DeFeo - Chairman & Chief Executive Officer: Okay. Thank you. Kevin, did you want to add something?
Kevin P. Bradley - Chief Financial Officer & Senior Vice President: Yeah. I guess just wanted to add, David, as Matt focuses on total cost of ownership for the customer from a product and product design standpoint, AWP and Matt's team has really been working much more closely with TFS. So not just on total cost, but on kind of targeted custom financing programs that allow the customer to kind of acquire the equipment in a cash flow format that works for them. So it's really kind of helping the customer not just on total price, but on cash flow.
David Michael Raso - Evercore ISI Institutional Equities: Great.
Ronald M. DeFeo - Chairman & Chief Executive Officer: David, anything else? Okay. Thank you.
Operator: Your next question is from the line of Jamie Cook with Credit Suisse.
Jamie L. Cook - Credit Suisse Securities (USA) LLC (Broker): Good morning. I guess, just, Ron, I know you don't want to talk about 2016 and you gave some color with regards to how you're thinking about Aerial's, but I feel like what continues to weigh on the stock is the market's view that Terex would have a hard time remaining profitable assuming Aerial's is starting to roll. So, can you just talk broadly about 2016 across the different segments or that you feel most optimistic about? Or are you the assumption that over the next year or so, we're in a no growth environment and I guess under that scenario, how do you feel about the $200 million in restructuring benefits? I mean, are you at the point where you feel like there's more that you could do – you know what I mean – to offset what appears to be over the next couple of years a pretty glim top-line environment? Thanks.
Ronald M. DeFeo - Chairman & Chief Executive Officer: Okay, Jamie. Well, the environment – just to begin, in general, is as we expected. So when we talked with investors last year, perhaps we were a bit of an outlier in how we were thinking about the environment. But, and I think we probably got punished a little bit because of that. But it caused us to really focus internally on a bunch of initiatives that we think are still not only appropriate, but we're beginning to see the real benefits for – or from rather. The $202 million of improvement initiatives really doesn't even include the substantial material cost savings that we also are benefiting from because of things like steel. So we see major opportunities and are harvesting them in the second half of this year because of steel cost reductions. So one negative of slow market has a positive of lower material cost. So this is – these things are not unrelated. I would be happy to see steel costs kind of bottom out with overall commodities begin to come back, but I don't really see that in 2016. What I do see as the underpinning of our 2016 performance is the following: Number one, AWP market, not a lot of growth, maybe tad bit of weakness, but a lot of internal initiatives to actually improve our year-over-year performance. Why do I believe that? Our customers are telling us that. Our biggest customers are planful. Our biggest customers are telling us that oil and gas has impacted their business quite meaningfully, but that's now being rebalanced, and there's underlying growth in other key areas. So it is not doom and gloom for our AWP business. So anybody that's assuming that AWP 's going to roll 30%, 40%, I think that's a bad assumption. Okay. I just want to be clear about that. So then let's move on to Cranes. Okay. Crane business, tough place; non-residential construction, not growing; rough terrain cranes down in the United States 20% or more; global crane market in places like Latin America and other places, Russia, tough place to be. But that's where our business is performing – right now, real time. Do I see a lot of improvement? Only from things we're doing with our own initiatives. Do I believe 2015 will be the low point of the cycle? Probably. Okay. Probably, which means that our initiatives ought to drive some – drive some year-over-year improvements in 2016. Now let's turn to MHPS. Our MHPS business, that Steve is leading, that business is hitting a couple of good inflection points. Industrial production in Europe is beginning to move; the negative currency impact from the U.S. perspective is a positive impact from our European perspective. We are seeing our Material Handling business in Europe beginning to increase. We're also seeing the results of the initiatives that take 18 months for a gestation period to improve happen. And we expect the biggest benefits in 2016 and 2017 from the $75 million or greater restructuring initiatives from that business already. So 2017 and 2016s – well, 2016 will be the first really meaningful year. And the Port business, port business is turning around, and I can let Steve discuss that at a later point. My Construction business? Construction, unfortunately, isn't moving our needle. It isn't moving our needle up, and it isn't moving our needle down. Now we're going to continue to try and address the underlying issues in that business. And lastly, Materials Processing: The Materials Processing business is a solid performer, good double-digits operating margin, not a lot of growth, but that's where we've made some targeted bolt-on acquisitions. So I say no to those naysayers that say 2016 will be nasty year for Terex. I say yes, that we are in a tough environment, but we are going to move the income performance for this company next year without a doubt. Kevin?
Kevin P. Bradley - Chief Financial Officer & Senior Vice President: Yeah, Ron. So in addition to what Ron described in terms of OP impact, let me just share some of the more corporate-related stuff. On the tax side, we see the opportunity, given a lot of the cost reduction and restructuring efforts are targeted at losses not benefited countries, that, combined with expanded use of our global trading model in 2016 we think can easily drive another 150 basis point to 200 basis point improvement in tax rate off the midpoint of the 2015 range. And then on the corporate cost, we've talked about our shared services. We're accelerating moving from 75 locations to 6 locations. That work is happening right now. That, combined with a more efficient model in our IT space with cloud-based and out – and a more a more outsourced model for certain elements of our IT spend, it's just a much more efficient model. And then I'd say, lastly – I think you know this, Jamie – but our – the convert was a drag of about $10 million a year in interest costs. With that gone – that's the annualized improvement impact plus other – the re-pricing of our European term debt that Ron mentioned, there's a number of other things, in other words, beyond in the segment operating profit that we think help us in 2016.
Ronald M. DeFeo - Chairman & Chief Executive Officer: Okay.
Operator: Your next question is from the line of Nicole DeBlase with Morgan Stanley.
Nicole DeBlase - Morgan Stanley & Co. LLC: Hi, guys. Good morning.
Ronald M. DeFeo - Chairman & Chief Executive Officer: Good morning, Nicole.
Nicole DeBlase - Morgan Stanley & Co. LLC: So my first question is around MHPS margins. I guess you guys talked about a little bit of what drove the weakness in the quarter, but do you still think that you can grow margins year-on-year in 2015 in line with your prior guidance or do you think that the second half will still be a little bit of a struggle?
Ronald M. DeFeo - Chairman & Chief Executive Officer: Steve, do you want to comment on that?
Stoyan Filipov - President-Material Handling & Port Solutions: Yeah, sure. Hi, Nicole. No, I think we'll see margins come up. I mean, we mentioned in Q2 MH actually improved over Q2 last year. So, on $40 million revenue less this quarter we generated a profit of about 1% operating profit versus a 1% operating profit loss last year. So as Ron said, we're starting to see the cost reductions come through on substantially less revenue. And on the other side, we're seeing some pickup in the order intake, as also – as Ron also mentioned. And the Port business is always a second half story. And it's looking pretty good because – I'll mention the mobile harbor crane business as an example. At the middle of last year, we had, I'd say, less than 20 mobile harbor cranes on order and today we've got over 40 mobile harbor cranes on order. So we've doubled basically the backlog in the mobile harbor crane business. So, that's really starting to turn around. Now, on the negative side, we're not going to have the automation, although we do have some. I think we have about $40 million of automation that'll ship in Q4. So that's going to help obviously the Port business. And then the Straddle Carrier business, which is a good profitability business for us, backlog is full for the rest of the year. They're going to have a very good year. So I think for sure the margins are going to improve in the back half of the year. And I think we said that we were going to show a bit of improvement on the operating line versus last year. So there'll be some puts and takes, but we should be pretty close to that with all of the other things that we have to deal with.
Nicole DeBlase - Morgan Stanley & Co. LLC: Okay. That's helpful. Thanks, Steve. And my second question is around the cost savings cadence. So you guys are increasing to a $100 million for 2015, what does that mean for the rest of the program? Is this pretty much going to be executed by the end of 2016 now rather than 2017 previously?
Ronald M. DeFeo - Chairman & Chief Executive Officer: Well, we're not really prepared to give you that analysis yet, Nicole. Obviously, we're going to be ahead of schedule. Being ahead of schedule would suggest that we ought to be able to achieve the full $202 million earlier, and that certainly is our internal expectation. We review each and every one of our projects every month as part of our standard reporting package. I think there's more to gain from those projects as well in the further out years. So while the expectation was $202 million, those projects actually had substantially greater potential than that $202 million in the further years. So I think that'll be something we continue to report to the financial community as we report our earnings – our status on those things. Thank you.
Operator: As a remainder, in order to allow everyone to ask a question, please limit to one question and one question only. Your next question is from the line of Steven Fisher with UBS.
Steven Michael Fisher - UBS Securities LLC: Thanks. Good morning.
Ronald M. DeFeo - Chairman & Chief Executive Officer: Hi, Steven.
Steven Michael Fisher - UBS Securities LLC: In terms of the process around determining guidance this time, you know, last year you had a reduction in guidance in September. It seemed to follow sort of a big internal session in August. Can you just talk about how this year's process is different, maybe you have some different systems that you're working with? How was this year different?
Ronald M. DeFeo - Chairman & Chief Executive Officer: Do you want to comment on that Kevin?
Kevin P. Bradley - Chief Financial Officer & Senior Vice President: Well, yeah, I can certainly comment. We're certainly trying to be much more kind of planful, and I think our planning process in general is – we're trying to do a better job of anticipating negative headwinds as best we can. Obviously, we came up a little short this year, but I think we're improving in that area. It's a pretty volatile environment from a macro perspective. And I think it's difficult for us and I think for most of our peers to anticipate the negative headwinds that we're going to run into. So I'd say that's probably the biggest change we've had kind of in our SG&A and forecasting processes, anticipating the negatives and trying to flow them through full year guide.
Ronald M. DeFeo - Chairman & Chief Executive Officer: I don't want to be defensive here, but and this might appear a bit defensive. So in advance, I apologize. But there are a couple of big changes that impacted our company that I don't think many of us would've been smart enough to be able to see the inflection point – no one. The price of the oil drops in half or more. That's an inflection point that impacts our business, okay. Maybe, if I was an oil trader, I would have seen that. When the currency drops the way it's changed, that's a huge inflection point for our business. We lost $600 million plus of revenue between the month of November and the month of January, that changes the dynamics of our supply base pretty remarkably. But this is the business we're in. So I don't think, we should make any excuses for it. So it is not an easy business to forecast, and we took the attitude in the middle of last year admittedly that we were tired of anticipating recovery and we weren't going to forecast to recovery until we saw it. So we were going to focus internally. And that was the change that took place. And while we're taking guidance down a bit now, we're really in the low end of what we had said. And I can't promise that we still have this forecast completely right, but we're doing the best we can to concentrate on the things we can control.
Operator: Your next question is from the line of Ann Duignan with JPMorgan.
Ann P. Duignan - JPMorgan Securities LLC: Good morning, guys.
Ronald M. DeFeo - Chairman & Chief Executive Officer: Good morning, Ann.
Ann P. Duignan - JPMorgan Securities LLC: Morning. Ron, you were taking about lower input costs and it has kind of surprised us that more people aren't talking about this is an opportunity for margins going forward. If I look at your cost of goods, would it be fair to say that roughly 65% of cogs is materials/components and 35% labor overhead? Is that about the right mix to think about?
Ronald M. DeFeo - Chairman & Chief Executive Officer: I think it's in the ballpark, Ann.
Ann P. Duignan - JPMorgan Securities LLC: And then, if we look at the 65% materials – this might be too much detail for us to call – but any idea from the team about around the materials portion, how much is actually steel versus components?
Ronald M. DeFeo - Chairman & Chief Executive Officer: Well, you know, Ann, steel is in almost everything. And so you can get clear steel cost reductions on the products that we buy that are fabricated on the raw steel that we get, and that is a real opportunity immediately. The rest is hard work, because you've got to go back to your supply base, and they're benefiting from lower steel but they're not taking their prices down voluntarily. Okay. So you have to go back and renegotiate with every one of your suppliers. That's a lot of hard work, but that's where you're going to get your margin improvement. And we've got very dedicated teams working on this. I think it's not an unreasonable expectation for us to get 2% to 3% reduction in material costs over the next 12 months to 18 months. And that's the kind of thing that changes the – changes the outcomes, changes the financial performance of the company. And I've always said that there – through this cycle, there's different strengths and weaknesses. In a recovering market, the supply base has the leg up. They can take prices up. They have a diversified customer base. But in a flat-to-declining environment, then the OEM, like ourselves, we have a little bit more leverage. And you know, when I say leverage, it's not on a nasty or negative basis because our component suppliers want to grow their business too, want to grow their share and they know that price is a component of that and steel is a component as well. And the last thing I wanted to point out is we have a brand new AWP factory. As I say brand new, it's about five years plus or old, but it is performing really well for us. And it is also a source of low cost materials in China. And I got to recognize that team, because that team is making a substantial profit and a substantial contribution to our AWP margin improvements and will contribute the some of our other segment operating margin improvements in the years to come.
Ann P. Duignan - JPMorgan Securities LLC: Perfect, Ron. I'll leave it there. Thanks for the color. I appreciate it.
Ronald M. DeFeo - Chairman & Chief Executive Officer: Okay, Ann.
Operator: And your next question is from the line of Ross Gilardi with Bank of America.
Ross P. Gilardi - Bank of America Merrill Lynch: Hi. Thank you.
Ronald M. DeFeo - Chairman & Chief Executive Officer: Hello, Ross.
Ross P. Gilardi - Bank of America Merrill Lynch: I just had a couple of questions. I wanted to go back to that the pricing pressure in AWPs. I mean, clearly, your biggest competitors got too much inventory, is having a cut production and that's what we're seeing today in their announcement. So with that, are you seeing intensified pricing pressure as they try to unload that inventory or is this the same level of pricing pressure that you've referenced in some of the more recent quarters?
Ronald M. DeFeo - Chairman & Chief Executive Officer: I'd say, Ross, that it is similar to what we've experienced in the recent quarters, but we're always a little bit concerned when someone has a bit too much inventory. But I'll turn it over to Matt to give you more specific color.
Matthew Fearon - President-Terex Aerial Work Platforms: Yeah. All right. So the pricing environment over the past few years has been, for the most part, rational. The currency swings that we saw in late 2014 created opportunities for the non-U.S. manufacturers to lower the prices, and we felt that starting at the beginning of the year. And then as we move through the year and the rental companies were so focused on rate expansion and they slowed down on some core models that are now sitting in some people's yards as inventory, we're starting to see an increased level of activity around pricing on moving that inventory. It's not out of control. We are – we're seeing that people are doing some deals to move product. But our focus on margin improvement is allowing us to fight back when we choose to. And the other thing I think is important to note is that longer-term, we're going to continue to leverage our global manufacturing footprint to reduce the impacts of these currency swings. So there is kind of short term, let the inventory work through the system and get it balanced out, but then there is also a longer-term play on how we're going to handle the FX link. So hopefully that helps you.
Ross P. Gilardi - Bank of America Merrill Lynch: Yeah. Thanks, Matt. So kind of a follow-up to that, I mean, it sounds like at the very least pricing powers – pricing pressure is picking up a little bit, and you seem to be acknowledging that the outlook in the next year is kind of similar to the way you're looking at going into this past year. So it kind of feels like the best case scenario is that you can hold margin into next year rather than actually increase margin. Would you agree with that?
Matthew Fearon - President-Terex Aerial Work Platforms: Well, we're certainly going to try to continue to improve our margins. It's completely volume driven. There's huge opportunity that we've been talking about over this call as far as productivity and materials. That's where we're focused. And we know that it's going to be a flight for the revenue, but we've got enough initiatives in it and they have had two years of – they've been underway for (53:13) see the fruits of that.
Ronald M. DeFeo - Chairman & Chief Executive Officer: But I think, Ross, that your characterization is not unreasonable. Okay. I'd be pleased with low-teens margins from our AWP business on an ongoing basis.
Matthew Fearon - President-Terex Aerial Work Platforms: One other comment I would add is that the – our inventory levels, I'm comfortable with. We managed our inventories starting fourth quarter – third quarter, fourth quarter last year. We were a bit cautious about – we didn't want to get ahead of ourselves this year because we saw that the year was going to be slightly down. So where we're sitting coming into third quarter, we're very comfortable with the inventory levels that we have.
Ross P. Gilardi - Bank of America Merrill Lynch: Okay. Thank you.
Ronald M. DeFeo - Chairman & Chief Executive Officer: Next question.
Operator: And your next question comes from the line of Jerry Revich with Goldman Sachs.
Jerry D. Revich - Goldman Sachs & Co.: Good morning. Ron or Matt, I'm wondering if you'd just flesh out a little but the demand trends that you're seeing in Aerials in Europe? How much were your deliveries up in the quarter? And a couple of other folks have the same currency headwinds that you folks face, I know you had a July 1 price increase announcement in Europe. Were you able to achieve any of that? Any color there?
Ronald M. DeFeo - Chairman & Chief Executive Officer: I'll turn that over to you, Matt. But I will say this, that we expect the currency trends to continue to be an issue for Europe. We have a reasonable manufacturing footprint in Europe, and we think we're going to continue to move some production to Europe because of that to help us. But, Matt, go ahead.
Matthew Fearon - President-Terex Aerial Work Platforms: Yeah. Europe market continues to be very strong. We had a slow start in Q1 due to the port issues, but that was corrected in Q2. If you adjust for currency in Q2, we were up 38% year-over-year. A lot of that was catch-up from what we missed in first quarter. So, for the full year, we're up 10%, which is fantastic, and the sentiment in Europe continues to be good. As far as the price increase that you referenced, we did go out with a price increase at the end of June for products that were manufactured in the U.S. We manufacture a significant chunk of our products for Europe in Europe. And that pricing, we did pull some orders forward based on that. So jury's still out on what happens with – how much we can get that to stick. We will fight back. We know that there is inventory out there, but we're – as we move through the balance of the year, we're going to have to go get that price increase in Europe. And we'll-we realize that we may take a little bit of a hit, but we think it's a right thing to do for the health of the business going forward. And then like Ron said, we will also continue to move manufacturing over there. And we're positioned to do that. We've got space, we've got teams and they're actively working on it today.
Jerry D. Revich - Goldman Sachs & Co.: And I'm wondering if you can comment on MHPS in a little bit more detail on the pickup in order and inquiry levels in Europe? Any additional color that, Ron, you or Steve could give us there?
Ronald M. DeFeo - Chairman & Chief Executive Officer: Steve, go ahead.
Stoyan Filipov - President-Material Handling & Port Solutions: Okay. Yeah, Jerry. I'm not going to go and cry victory yet, but the bookings on the new equipment in Western Europe picked up around 10%. So that's a good sign, but it's coming off of a low base. So there's some momentum there. On the services side, you know, it's when you back-out FX, it's pretty much flat year-over-year, with really some big drops in Brazil and places like the Middle East. So kind of a mixed bag from that perspective on the material handling side. And then on the port side in Europe, as I mentioned, the mobile harbor cranes, the straddle carriers and our reach stacker product is selling well into Europe. So hopefully, that gives you a bit more color.
Jerry D. Revich - Goldman Sachs & Co.: Thank you.
Operator: Your next question is from the line of Eli Lustgarten with Longbow Securities.
Eli S. Lustgarten - Longbow Research LLC: Thanks for taking the question. Just, can you talk a little bit about the Crane business and what you're seeing? What kind of cadence we should expect in the second half of the year? And more importantly, is there some structural downsizing that has to take place given that a large part of the market maybe dormant for an extended period of time at this point, especially with the collapsible of the commodities that could require a new normal adjustment in the business?
Ronald M. DeFeo - Chairman & Chief Executive Officer: Let me comment on that first and then pass it over to Tim. The Crane business over the years has been a feast or famine kind of business, and we're in the famine period of this business. There historically have been manufacturers that have been – have entered the business, added capacity during the times when things are good and it's difficult to have manufacturers go out of the business. I think, structurally, we're not being challenged by a lot of the Chinese players coming into the developing markets, and so that threat isn't there. But I do see a continued need for consolidation in this business, but I don't see any of that really happening in the near term. But I think people should pay attention to that, and I think there should be opportunities harvested over a extended period of time. But in general, I don't think plant property and equipment is a huge drain on the business. It is still a business where the variable costs can be managed somewhat. But obviously, when the environment is soft like we see it, it's a bit of a struggle. But that's why you globalize. That's why you broaden your footprint. That's why we've made substantial sales and marketing investments in the BRIC countries and in other places. But frankly, that – we got a lot of growth from those places, but right now, that growth isn't happening. So for the next couple of years probably, it's going to be a focus on internal initiatives and kind of concentrating on those few markets where there is some growth. Tim, you want to comment anything different.
Timothy A. Ford - President-Aerial Work Platforms: Yeah. No, I would just add, Ron, that if I think about the Crane business on three dimensions; volume, margin and mix, volume is challenging. But as you stated and went through with the improvement initiatives, there's a lot of opportunity that remains in the Crane business for continued margin improvement. And frankly, from a mix standpoint, I see improving opportunities for us as we bring our Jinan China factory onboard, as well as some of the cost activities that you referenced in your comments earlier. So the volume is tough, but there is margin expansion opportunities for us both on what we do, both on product development and from a mix standpoint as we move forward.
Eli S. Lustgarten - Longbow Research LLC: Yes, thank you. Just one quick follow-up and it's pretty obvious, when do we get Phase 2 of the internal cost reduction program? You do a $100 million this year. You're accelerating the $200 million. There's obviously so much more that can be done in this company. So I mean we should be expecting a Phase 2 coming shortly, shouldn't we?
Ronald M. DeFeo - Chairman & Chief Executive Officer: You know, I – yes, there's always a Phase 2. There is always a Phase 2. So when? I'm not sure. But trust me, we'll work on it.
Eli S. Lustgarten - Longbow Research LLC: All right. Thank you very much.
Ronald M. DeFeo - Chairman & Chief Executive Officer: Okay.
Operator: Your next question is from the line of Vishal Shah with Deutsche Bank.
Chad Dillard - Deutsche Bank Securities, Inc.: Hi. This is Chad Dillard on the line for Vishal.
Ronald M. DeFeo - Chairman & Chief Executive Officer: Hey, Chad.
Chad Dillard - Deutsche Bank Securities, Inc.: So what are your customers telling you about how far along we are in fleet rebalancing in the oil patch, and I'm mainly focused on the Aerial Work Platforms and cranes. I mean, is it something that can extend to the end of 2015 or could it potentially move toward – through to 2016?
Ronald M. DeFeo - Chairman & Chief Executive Officer: I think that's a great question, I know, Matt has spent a lot of time on this, so I'll just turn it over to Matt.
Matthew Fearon - President-Terex Aerial Work Platforms: Yeah. I would say, Chad, that I think most of the rebalancing has been done. I think it took pretty much up through Q2 in order for it to happen, but I think they've moved the fleet to where they want it, and they're waiting to see where they can get the rates and where they need fleet, so they've been a little bit cautious. But I expect there may be a little bit more that tails into the back half of this year, but for the most part I would estimate that that's been done.
Chad Dillard - Deutsche Bank Securities, Inc.: That's helpful. And then, just moving to Material Handling and Port Solutions, I think on the previous quarter call there was some commentary about some large bidding opportunities. Just want to get an update on where you guys are with that. Is there something we should expect in the back half of 2015 or is it something that we'll see more so in 2016?
Ronald M. DeFeo - Chairman & Chief Executive Officer: Steve?
Stoyan Filipov - President-Material Handling & Port Solutions: Yep. Hi, Chad. So this is the way I kind of – it's tough to really forecast when these big projects are going to hit. We've got, I'd say, very good visibility to about half a dozen projects, and about half of them are in Western Europe and the other half are kind of around Asia-Pacific – don't want to go into too much detail where they are. And the total scope of those is probably about $100 million worth. In our plan, we obviously want to sign one of those deals, I'd say, by the end of this year, but it tends to move around, so it could be the end of this year, beginning of next year, I think we're – we'll sign the next one. But there's opportunity out there and that's just kind of the short to medium term. I mean, every time I go and talk to customer in port, they talk about automation and the plans that they're starting to make to really move more to automation. So we're automating more and more products. We have our automated guided vehicles. We have our automated stacking cranes. We're launching a new automated stratocarrier in Q1 of next year, followed by an automated rubber tired gantry. So there's opportunity out there. I'm sure we're going to get another one. It's just tough for me to tell you when I'm going to get it and, kind of, the scope of it. But there's over $1 billion of opportunity out there to get, really through the next five years to six years, when you talk to customers. So we're working it and we'll see when we get the next one.
Operator: Your next question is from the line of Joel Tiss with BMO.
Joel G. Tiss - BMO Capital Markets (United States): So the one I wanted to ask has been answered. But is the corporate expense – Kevin, is the corporate expense, is there a new run rate closer to $5 million a quarter or this quarter was more of just a one-off?
Kevin P. Bradley - Chief Financial Officer & Senior Vice President: Yeah. I think, we talked about the three kind of equal contributors. I'd say two of them so – roughly 60% is something that we think is a sustainable benefit.
Joel G. Tiss - BMO Capital Markets (United States): Okay. And then, Ron, I just wondered, we talked about everything to death on the businesses, I just wondered if you could talk a little bit about what else you could do in terms of growth from capital reallocation. Obviously, as you're shrinking, you're generating a ton of cash, and that's something we haven't talked much about.
Ronald M. DeFeo - Chairman & Chief Executive Officer: Okay, Joel. I think managing our capital is a critical part of doing what we do here. We have a meaningful amount of share repurchase still left to do. We obviously spent $130 million or so in Q2 on taking the convert out. We're going to continue to look at returning cash to shareholders and targeted bolt-on acquisitions, small in size, are things that we will continue to look at. Although, I don't think we have anything kind of in the hopper at this stage. But – so expect us to continue to try and manage the balance sheet and capital allocations intelligently, I guess is what I would say.
Joel G. Tiss - BMO Capital Markets (United States): All right. Thanks.
Operator: And your final question is from the line of Seth Weber with RBC Capital Markets.
Seth R. Weber - RBC Capital Markets LLC: Yes. Thanks for keeping the call going. So just kind of following up on that last question, wow should we think about Terex's financial from both the liquidity perspective and where you're targeting that business to help support revenue growth?
Ronald M. DeFeo - Chairman & Chief Executive Officer: Well, Kevin Bradley's been waiting for this question, Seth.
Kevin P. Bradley - Chief Financial Officer & Senior Vice President: Yeah. Thanks, Seth. So we've been talking about expanding the use of TFS across the company. We've been kind of underwhelming the opportunity. We've built a very capable and, I'd say, diligent function. And right now, we're at – historically, we've been at about 12% to 13% in financing on TFS sales globally. We see plenty of opportunity to expand that, more than double it over the next couple of years and beyond. So we think, that's going to create incremental sales growth, even in kind of flat markets for Terex, as we provide better solutions to acquire our equipment. From a liquidity standpoint, our philosophy is still to use kind of other people's money. So for the most part, whether it's a syndication, straight referral, we're getting into more sophisticated funding techniques like the recent securitization conduit. I think the idea is we don't want to be a very large burden on liquidity as we grow profitably. I would say the way we've looked at TFS historically has been kind of a value-added function that tries to cover most of their cost through some fees – referral fees to our funding partners. Going forward as we get into the capital markets, we see the real opportunity to treat this business like a real P&L, not unlike most of our peers do with their captives. So we're kind of excited about the growth opportunity it can present as well as the P&L upside that we'll enjoy over time.
Seth R. Weber - RBC Capital Markets LLC: That's helpful. Thanks, Kevin. And then maybe just a last one for Steve, should we expect, in MHPS, the big service contribution to help margin in the – like last year I guess you did about a 6% margin third quarter, fourth quarter. I mean, is that still kind of the way we should think about the service impact on the MHPS business?
Stoyan Filipov - President-Material Handling & Port Solutions: Yes, Seth. I mean, this is – Q3 is obviously our big services -
Seth R. Weber - RBC Capital Markets LLC: Right.
Seth R. Weber - RBC Capital Markets LLC: ... quarter, with all the shutdowns. So with what I see kind of in the backlog coming through, I don't see a big change from that perspective. So I think, we'll pretty much be in line with what we saw last year. Now, obviously, FX is going to have a certain effect on us, but I don't see the margins changing very much year-over-year. So we've got a big quarter ahead of us to get the service techs out there and get into the facilities and service our equipment, so.
Seth R. Weber - RBC Capital Markets LLC: Okay. Thank you very much, guys.
Ronald M. DeFeo - Chairman & Chief Executive Officer: Thank you, Seth.
Ronald M. DeFeo - Chairman & Chief Executive Officer: Well, I think this is it. Thank you everyone for your interest in Terex today; we appreciate it. Please follow-up with us if you have any additional questions or concerns. We appreciate your interest in the company.
Operator: This does conclude today's conference. You may now disconnect.